Hirokazu Umeda: I will now go over the results for the third quarter of the fiscal year ending March 2025. First, major change in our financial statements. We recently announced the completion of the share transfer of Panasonic Automotive Systems, PAS. As a result, in December 2024, PAS has become a company under the equity method and is excluded from the scope of consolidation. Accordingly, the figures of businesses that are not subject to the share transfer of PAS are recorded in other eliminations and adjustments and figures for both FY '25 and FY '24 are reclassified. On this basis, I will give the summary of the Q3 results. Both sales and profit increased year-on-year, excluding Automotive, despite decreased sales due to the deconsolidation of Automotive. Looking at sales of each business, major positive factors included favorable sales of generative AI-related products in Industry and Energy. In Lifestyle, air-to-water, after experiencing tough conditions turned to a year-on-year increase and sales of electrical construction materials were favorable. Adjusted operating profit increased with higher profit in Lifestyle, Connect, Industry and Energy despite the impact of deconsolidation of Automotive. Operating profit also increased. Net profit decreased, due mainly to an increase in income taxes. For the full-year forecast, even with the deconsolidation of Automotive, the group-wide profit forecast remains unchanged. Only the sales forecast is revised downward. By segment, the forecast of Industry and Energy is revised upward. Generative AI-related businesses continue to be favorable in Q3 and their high growth is expected to continue for the full-year. Now the details of the Q3 results. From the Q3, the consolidated results are shown on the basis of excluding the impact of the Automotive deconsolidation. Sales decreased year-on-year by 1% to JPY 2,152.6 billion. Excluding Automotive, sales increased by 5%. AOP increased to JPY 150.2 billion and OP increased to JPY 132.3 billion. Net profit decreased to JPY 99.5 billion. Results by segment. In the next slides, I’ll explain the year-on-year variance analysis for sales and operating profit. First, sales variance analysis by segment. Lifestyle sales increased overall, driven by HVAC, electrical construction materials and consumer electronics. Sales of air-to-water in Europe after experiencing tough conditions turned to a year-on-year increase due mainly to improved distribution inventories. Sales of consumer electronics in China recovered to the same level year-on-year, including the effect of subsidies. The decreased sales of automotive is due to the impact of deconsolidation. Connect sales increased with increased sales of Process Automation, capturing demand for ICT industry in China, as well as increased sales of Blue Yonder, Gemba Solutions and Avionics. Industry sales increased with increased sales of products for information and communication applications such as generative AI servers despite decreased sales of Automotive industrial use relays due to market slowdown mainly in Europe. In Energy, sales of in-vehicle decreased due to price revisions reflecting lower raw material prices. Sales increased at the Nevada factory, reaching 10 gigawatt hour with the added equipment starting operations and increased customer demand. Sales of Industrial Consumer increased mainly in energy storage systems for data centers with continued growth of generative AI market. Within other Eliminations and Adjustment, sales increased in both Entertainment and Communication and Housing. Next, AOP variance analysis by segment. Lifestyle profits increased due mainly to increased sales of HVAC, electrical construction materials and consumer electronics and through rationalization. The decreased profit of Automotive is due to deconsolidation. Connect profit increased due to increased sales of Blue Yonder with contributions from favorable sales of SaaS and improved marginal profit ratio. Other factors include increased sales of Process Automation, Gemba Solutions and Avionics. Industry profit increased due to increased sales of products for information and communication applications such as generative AI service, rationalization and price revisions despite decreased sales of Automotive Industrial use relays, due to market slowdown as well as price hikes in raw materials. In Energy, profit of in-vehicle increased due mainly to increased sales volume at the Nevada factory with improved productivity and other factors, as well as the increased IRA tax credit despite increased upfront costs for Kansas and Wakayama factories. Profit of Industrial Consumer increased due mainly to increased sales of energy storage systems for data centers, improvement in material market prices and material rationalization. This slide shows the results of Lifestyle by divisional company. Sales and profit increased in LAS, HVAC and Electric Work Company. In Cold Chain Solutions Company, both sales and profit decreased. This slide shows our year-on-year operating profit variance analysis. From the left, on the basis of excluding Automotive, increased sales in real terms was positive JPY 22 billion. Increase in fixed cost was negative JPY 16.6 billion due mainly in investments in energy for future growth and the impact of inflation. The net impact of raw materials and logistics prices was positive JPY 14.4 billion. The price revisions and rationalization also had a positive impact of JPY 6.5 billion. The breakdown of Blue Yonder is shown on the bottom right. On the constant currency basis, AOP on stand-alone basis increased by JPY 6.1 billion. On a consolidated basis, AOP increased by JPY 5.8 billion. Excluding the impact of strategic investment and synergy investment, AOP increased by JPY 6.7 billion. Exchange rates had a positive impact of JPY 2.8 billion, mainly seen in Industry and Energy. The year-on-year increase in AOP totaled JPY 34.9 billion on the basis of excluding Automotive. In addition, Automotive was a decrease factor of JPY 10.8 billion due to the impact of deconsolidation. Other income and loss had a negative impact of JPY 19.3 billion, due mainly to the expenses related to the share transfer. Operating profit as a result increased by JPY 4.8 billion. This shows the cash flows and cash positions. On the left, cumulative operating cash flows up to Q3 amounted to JPY 702.7 billion, with an increase year-on-year including the monetization of the IRA tax credit through transferable methods in Q2. Consequently, in Q3, we achieved the current medium-term target for the cumulative operating cash flow, which is JPY 2 trillion from fiscal '23. Going forward, we will continue to generate further operating cash flows. On the right, net cash was a negative of JPY 462.4 billion. Next, I would like to explain the consolidated financial forecast for fiscal '25. This shows the consolidated financial forecast. As shown in the middle, labeled revised amount, only the sales forecast is revised downward by JPY 300 billion, as a result of deconsolidation of Automotive. The profit forecast remains unchanged. This shows the full year forecast by segment in terms of profit, while the deconsolidation of the Automotive will have an impact, the group-wide forecast remains unchanged with the upward revision of Industry and Energy. This shows the factors for revised sales and AOP by segment. As for AOP, the forecast for Industry and Energy are revised upward. In Industry, higher product sales for information and communication applications. In Energy, improved productivity in North America in vehicle and increased sales of energy storage systems for data centers and Industrial and Consumer. The impact of the deconsolidation of the Automotive is shown on the bottom left of the table. This shows the full-year forecast of Lifestyle by divisional company, which is unchanged from the forecast of October 31. This shows our analysis of the forecast for AOP by factor in comparison to the forecast as of May 2024. The upper graph shows the forecast as of May 9, 2024, and the lower graph shows the forecast today. AOP forecast of JPY 450 billion remains unchanged, as improvements in other factors are expected to offset the impact of deconsolidation of Automotive. Please note that the figures for Automotive in the upper graph are prior to the reclassification related to the deconsolidation, the changes before and after the reclassification as shown on Page 42. Next, let me explain the status of our Gen AI-related businesses, as we did in the previous meeting. Both in Industry and Energy continue to have a favorable result in Q3, and we expect high growth to continue for the full year. For Energy, the full-year forecast is expected to exceed the upward revision of Q2. Finally, the shareholder returns. For the annual dividend, we forecast JPY 40 per share with a year-on-year increase of JPY 5, as announced on August 30. The payout ratio relative to the full-year net profit forecast is expected at 30%. We will distribute stable and continuous dividends. Also, we aim to achieve the enhanced corporate value through business growth and profit increase. That concludes my presentation. Thank you for your attention.
Unidentified Company Representative: Thank you for your kind attention. The materials for group management reform have been uploaded on our website. Please go to the IR page. Next, our CEO, Kusumi, will talk about the group management reform.
Yuki Kusumi: Good evening. Thank you for taking time out of your busy schedule to join us today. CFO, Umeda, has gone over the results for Q3. And what I'd like to do is to look back on the developments in the current medium-term, as well as to talk about the group management reform that we will now embark on. First, the summary. Other than cumulative operating cash flow, we are not likely to achieve the KGIs. This is because of the three factors: priority investment area, enhancement of competitiveness and the fixed cost structure. And as a result, each company faces a problem in both competitiveness profitability and indirect cost. The purpose of the new management reform is to ensure that we will continue to contribute to society. Over the next 10 years, 20 years, helping people to live better lives. We felt the need to fundamentally change the management to embark on the fundamental management reform. We will have to address the issues that we have seen under the new operating company structure, we need to rebuild the organizational structure and cost structure to remove the things that hamper the competitiveness enhancement. And for that, we will concentrate -- we will optimize our resources in an optimally group-wide way. First, I'd like to talk about the revision of our group wide fixed cost structure. We will dramatically reduce the corporate and indirect cost, led by the holdings, as well as operational excellence company. And at each divisional and operating companies, we’ll utilize generative AI and DX to improve the productivity. We will improve the efficiency and we will pursue creating the synergy on the group-wide basis. We will embark on the employment structure reform as well. We are going to change the overall structure of the fixed cost. Second is the enhancement of the competitiveness. We will be addressing the businesses with low ROIC, as well as those that are not likely to recover the competitiveness. We will consider the possibilities of withdrawal or the best ownership to address these issues. The third area is the priority investment areas. We will revisit the areas that have been identified in the current medium-term plan as the investment areas. We will now concentrate on the solutions area. I will elaborate on this later. Through this, we are to reform the fixed cost structure as well as to improve the profitability. FY March 2026 should be the initial year of the next medium-term, but we regard this fiscal year as the year to have the foundation. So first of all, we will accelerate the scrutinization of the low-profit businesses. As we defined in May group briefing, we defined these businesses with issues which cannot expect to grow and the ROIC lower than WACC. And this includes the industrial devices, electromechanical control, kitchen appliances and TV. We will consider the withdrawal and shrinking of those businesses or take the drastic measures, including the sale. And by the end of fiscal '27, we will try to improve the profitability exceeding WACC. And in addition, if there are issues with the competitiveness and marketing position, we would also reconsider, for example, air-quality, air-conditioning, CE, consumer electronics and housing solutions. Business environment changed drastically in Europe, air-to-water and profitability has been low. And according to what Mr. Katayama explained in November, we will try to rebuild the businesses. And consumer electronics, we’re seeing the intensified competition, not only abroad, but also in Japan. So we want to rebuild this business which requires thorough rebuilding. Housing Solution, we will try to end the dependence on the sluggish Japanese new housing market, and we would move toward the renovation, non-housing and the foreign market. So those are the four businesses with issues related to ROIC and also the businesses to be reconstructed and business condition to be scrutinized. We will try to make sure we would intensify those efforts within FY '26 and make the timely disclosure. As for the Consumer Electronics Business Reconstruction, we will leverage the engineering and design capability that we hold in China and offer globally competitive products with Japan quality with China cost and try to scrutinize the business structure and organization. In order to focus more on the Consumer Electronics, we will unify the white goods and the black goods, which are distributed in the group to one company, so that we can sharpen and specialize. And as for the indirect section in Japan, we will try to streamline and improve efficiency. Through Japan-China collaboration, we would shift the resources to China and also to optimize our resources in Japan for the mass development. As for the domestic marketing, we would try to focus on the organization, which is suitable for the D2C expansion and more higher competitiveness and focusing on the productivity. As for the Overseas Marketing, we will try to consolidate production and sales and try to improve the profitability and review the product portfolio. And for that, we would need to optimize the resources and look into the development, manufacturing sales and integrate and streamline the organizations. And we talked about the solution area. There are many businesses which could be in the global top share. And especially the Energy Solution and SCM solutions in those, we would like to provide one-stop solutions for the common customers, so that we can generate value and grow together. So regarding the reform to create synergy, initially, we had five divisional companies established under Panasonic Corporation. But now it is becoming difficult to do just like that. In Japan, at Electronics Works and Connect, we do have the Gemba Solution collaboration, and we are receiving more inquiries. The Blue Yonder and Culture Solutions of Connect, do have common customers in the food retailing. So over the years, we can expect new value creation from the viewpoint of food supply chain. And therefore, we will concentrate on solutions area, and that will require addressing the customer challenges and social challenges on a group-wide basis, exceeding the scope of the Lifestyle business. To overcome this, during fiscal March 2026, we will dissolve Panasonic Corporation. And the divisional companies will be transformed into operational companies. The HVAC and Cold Chain Solutions, will become a single operating company as they do have the technology synergy. For each operating company, they are to contribute to the synergy creation in an accelerated manner. Next, I'd like to talk about the schedule and the effect of profitability improvement. First, regarding the profitability improvement and the fixed cost structure reform. We are going to address the fixed cost structure so that the fixed cost level could be recovered to the level where the group can continue to contribute to society. We are going to dissolve Panasonic Corporation during fiscal 2026 March. And the holdings and operational excellence companies and group-wide companies will have the thorough optimization of human resources, so as to achieve the high competitiveness. We will address the organizational and workforce on a zero basis and achieve the slim structure. As for the manufacturing, distribution and sales consolidation, we’re to set the direction during FY '26, so as to be implemented in FY '27. We are expecting the profit improvement by JPY 150 billion in FY '26 compared to FY '26. We are to improve the productivity through DX and others for further reduction in fixed costs. Together with the improved profitability in the investment areas of Blue Yonder and Automotive Battery, we expect another JPY 150 billion in improvement. In FY '29, we will be aiming at the improvement of JPY 300 billion on the adjusted operating profit basis. This reform would dramatically change the structure. So we have set five principles. Number one, our management foundation must be rebuilt as sustainable and robust for Panasonic to make contributions to our customers over many generations as a public entity. Two, our current reforms must provide benefits to all stakeholders working to make our enterprise value higher and more sustainable over a long period. Three, we must accomplish structural reform without exception, as well as business portfolio management to maximize our earnings capability. Four, we must stay close to and support to the extent possible and through a series of reforms, the employees who decide to meet new challenges either inside or outside the group. Five, we must invest in businesses with sustainable profit and growth as well as gain and enhance organizational capabilities by leveraging profitability and through reform. We will use these five reforms to implement management reform on a group-wide basis. So this shows what the group aims to become. Until now, we focused on the Lifestyle and Environment areas, but we did not show the roles of each area. So this time, we have come up with the Solution, Devices and Smart Life are three major business areas. And in reforming the group profit structure, we are going to set the roles of the area of focus and the profit foundation. The areas does not mean the organizational classification. So what we would focus upon is the solution area where we have the global competitiveness. We have built businesses based on the operating company. We have a very globally strong businesses, and we would like to connect with various customers so that we can generate the group-wide synergies and grow and we will focus on the Energy Solution and SCM Solutions. There are businesses which we will develop in the medium to long-term, but we aim to achieve the double-digit AOP ratio. And supporting the group profit foundation is Devices area and the Smart Life area through taking initiatives, we would like to rebuild the CE and build -- improve the AOP operating margin 15% or more or 10% or more level. And I told you there were areas, we would like to make sure that we would utilize the limited resources and energy on the earth and to support the rich lives of the customers with our technology, so that we can realize sustainable development. And I’ll be leading this management reform to improve the prosperity of the group, as a whole. And we try to achieve the ROE of 10% or more in fiscal 2029 and AOP ratio of 10% or more. And management reform will be completed, and we would accelerate the improvement of the corporate value by changing the management foundation, so that we can develop as a sustainable manner together with the society and the customer and become the group of companies, which are globally competitive. Thank you.
Q - Unidentified Analyst : [indiscernible] is my name. I hope you can hear me. Thank you. My first question. This, I think, would be for Kusumi-san, the group management reform, you presented. Is probably -- operating companies are the main players has been your theme from day 1, which was a very impressive statement. And you also said that the governance was not strong in your group management reform, any ideas about strengthening your governance, the Panasonic Corporation is going to be dissolved? What's your view on governance and also your view on the fact that Panasonic Corporation is going to disappear, the name, the brand is going to disappear?
Yuki Kusumi : Thank you for your question [indiscernible]. True, the operating company system and I embarked on that since I have the experience of Automotive company for many years. And based on other experience and others, I felt that the headquarters had not been involved much in the actual operation. And yes, all the instructions were given. And therefore, the operating companies had a feeling, please leave us alone. And therefore, we decided to deliberately have more discussion, provide more discretion to the operating companies. That was the starting point. But after we started, we felt that in terms of being responsible for your own company, Autonomous operation that had a positive impact. But at the same time, the results did not really show or reflect improvement of financial results that is. For example, one area where governance didn't really function I think, I should have done better, but a continuous increase in fixed cost. The Group CHRO, Kinoshita-san. Tatsuo Kinushita gave me advice said that in the foreign capital companies, even when more discretion autonomy is being provided, regarding the account control, the governance is being provided from the corporate that was the advice that I got. So I tried to incorporate that. And I and Umeda-san, for example, are on the work of each operating company. But the outside directors of the Holdings Corporation commented that, that is getting in the way of governance as well. And therefore, we put an end to that system. That tradition during FY '26, so the governance that should have a function has been addressed and has been enhanced over the years.
Unidentified Analyst : Now the last question regarding the company new Panasonic Corporation, are we going to retain that or not?
Yuki Kusumi : We have not yet decided anything yet. The specifics are to be worked out from now. The divisional companies are going to become the operating companies and all the specifics have yet to be worked out. Thank you.
Unidentified Analyst : Another question. I guess this is for Umeda-san or it could be for Kusumi-san as well? And that's related to the Q3 results. Under President Trump, the duties customs are now making headlines. And it is now reported that in Canada, for Canada and Mexico, they may postpone the implementation, whereas for China, the new tariffs will be applied. What do you think would be impact of this to your business?
Unidentified Company Representative : Thank you for your question. As you're aware, last -- since yesterday, over the last 2 days, for Canada, Mexico and China tariffs have been revisited and the new policies have been implemented. It is really truly unforeseeable situation. We are trying to envision what the impact is going to be. Would it have major material impacts or not. I think tariffs on Mexican products would be the area where we might be affected the most, although it's been postponed by 1 month. We understand that the government-to-government negotiations will be made and we will study how we can manage the situation in terms of the supply chain impact. About a quarter of sales, and the biggest are in vehicle batteries produced in the U.S. mostly. And under the Trump administration, his policy is in-line with what we are trying to do, including our new Kansas factory. And therefore, in terms of the siting of our business entities, we will have to continue to pay attention to the impact, but we are not currently expecting major impact -- major change. But we have to be well prepared for anything that might happen. So as we speak, the tariff policy is used as means of negotiations -- tool of negotiations by the Trump administration. So as a private corporation, we just have to continue to pay close attention.
Unidentified Company Representative : Thank you very much. Next from [indiscernible].
Unidentified Analyst : This is Watanabe over for [Shimbun] (ph) speaking. Thank you. First, I would like to make a point of clarification. So this time, TV business, you are considering the sale of that business. Is that correct? In 1952, you started to sell TVs. So is the background for coming to this decision that you might consider the sale of this business?
Unidentified Company Representative : Well, in terms of the direction, whether we will sell this business or not, as of now, I am not able to comment. We have not made any comments.
Unidentified Analyst : So there are other options that we can use. So sale of the business is one of the options. Is that right?
Unidentified Company Representative : Well, if I may elaborate, right now as a business, there are no other companies who will buy our TV business right now. So you are looking for the best owner. So that's also something that you mentioned. Yes, we are -- we have been considering about the different options and finding the best owner is one of those options. I see. Watanabe-san, are you good with just one question? Thank you.
Unidentified Analyst : Thank you. [indiscernible] I have a follow-up question on TV business. I think you were saying breakeven, you were going to continue on a breakeven basis. And Kosumi-san, I'm sure you have a strong attachment to this business. And yet it's now included in the list. You said that there will be no exception. So do I understand correctly that the fact that TV is on the list represents your determination?
Yuki Kusumi : Thank you for your question. Yes. As a business, I have been involved in TV business. So I do have some sentimental attachment to that business. But in order to make Panasonic group profitable businesses, we need to enlarge the business itself. But for specialty for the exclusive Panasonic stores and the Panasonic TV, as a brand still exists in Japan, Taiwan and Hong Kong. So the reform that we have been implementing so far on TV business have relied on other companies to reduce our own cost. We have tried those pathways and pursuing along that line, I think, would lead to a further reform of the TV business.
Unidentified Analyst : Okay thank you. My second question. In your explanation, you talked about the structural issues and essential issues. Structural issues, you did talk about that to a certain extent, and I think I got a general idea. But when it comes to the essential issues of Panasonic Group, could you enlighten me on that?
Yuki Kusumi : The structural issues, as I always talk about, from business to business, structurally, we are inferior to our peers. So that's what I mean by structural issues, whereas the structural issues are those that are related to the Panasonic Group as a whole, including the fixed cost issue that I talked about. So these are the inherent essential issues. I see. Yes, I felt your results that this is going to be a major reform. Thank you.
Unidentified Company Representative : Next is Sugiyama-san from Yomiuri Shimbun.
Unidentified Analyst : This is Sugiyama of Yomiuri Shimbun. I also have two questions. So today, all of a sudden, the plan was changed and Kusumi-san is with us. And at the time of the Q3 to talk about the management reform and restructuring or reorganization, what are the aims? What are the purpose of doing this right now?
Yuki Kusumi : I think normally early May time frame when we -- after the full year earnings call, I used to explain this. But this structure reform, this is something that we need to do earlier than later. And from that perspective, in addition to just doing this in the closed manner within the company, I thought that you wanted to show a determination, so that more members inside of Panasonic will get engaged in this effort.
Unidentified Analyst : Okay. Second question, is about the employment structural reform was also included? So concerning this, the headcount reduction is that included? If so, what is the size of the reduction?
Yuki Kusumi : Well in terms of the size, as I mentioned, this is something that we would look into. So each company of the group of course, there are some differences among the groups. And in terms of headcount control, if they have done it well, it is not going to be a major headcount reduction for those companies. So the size of the structural reform is something that we would consider from now on. And we would explain that when we are ready. So until March of fiscal '29, you will consider the potential employment structure reform. So when we say the structural reform, there is an aspect of the headcount reduction. And in our case, so we have a lot of older employees, older than 50 years old. So we have to do this, we have to take a drastic measure. And there are also some improvements that we need to do before March '29. So we are looking to each company. So by the end of fiscal '26, we will take the more decisive measures about the structural reform.
Unidentified Analyst : Just another point. So what do you do within the fiscal '26, that would include the early voluntary retirement program.
Yuki Kusumi : Yes, that is included. That's correct.
Unidentified Company Representative : Next Gen-san from [indiscernible] please.
Unidentified Analyst : Thank you. Gen from [Denka Shimbun] (ph). About businesses with issues. Question for clarification. I just want to make sure I heard you correctly. I think you did mention withdrawal as well as best owner. And I thought you were talking about these four businesses. But when you explained the TV business earlier, I understand that actually, there are many ways to address businesses with issues, not just getting rid of the business altogether. So does it mean that some of the business may be retained?
Yuki Kusumi : Okay, as a result, we are prepared to let go of such businesses. I think I said withdrawal from product areas, businesses or markets.
Unidentified Analyst : I see. My next question. When you talked about the TV business, you talked about the Panasonic shops. Now you are talking about dissolving Panasonic Corporation and most probably consumer electronics would be part of the Smart Life company. Consolidation of functions and entities, Panasonic or Matsushita started from consumer electronics, some appliances. I know they are historical background, but Kusumi-san, you are prepared to make decisive actions with this reform.
Yuki Kusumi : I hope there is no misunderstanding. The home appliances business is very important for Panasonic and that is why we have to make it highly profitable. And for that, we need to address the areas, which need to be addressed.
Unidentified Analyst : I see thank you.
Unidentified Company Representative: Next, from [indiscernible].
Unidentified Analyst : Fundamental question I have. Well, these presentations today about air quality, air conditioning, I think that was one of the priority businesses. But now it is under the businesses to be reconstructed. And also you are focused more on the solution area now. So my impression is that from the product manufacturing to the solution, is that the major shift that you are trying to make?
Unidentified Company Representative : Well, when we say solutions, it is not just the software solutions. So for example, some of the products and services, the Home Energy Management System or HEMS, electric works company, ISEK II or ISEK III eventually. And this is for the air conditioning and the solar and the storage battery and EcoCute, all of those are under this so to make the house into the zero energy house. So it is a solution including all these. And in – there is RE100, another electric works solution, not only for the residential but also for the offices. And this is another solution. So that's what we mean by solutions, or Cold Chain, Hussmann, this is also a solution. So it's not just a refrigeration show display, but for example, the price tags can be changed in real time. So at Panasonic, we have so many different solutions.
Unidentified Analyst : Point of clarification. So the priority investment areas, this is disappearing? Or air-quality conditioning is no longer priority investment businesses?
Yuki Kusumi: Well, air quality, air conditioning, the air to water was the priority investment. And in terms of profitability, this time, it is not under the improvement of the profitability but Panasonic Corporation, I think this was the positioning that we have had. When we talk about the priority investments, in the medium-term, we have been making investments and based on the size. And I think, we are coming to an end of that. So priority investments is a term that we no longer will be using.
Unidentified Analyst : Earlier, the impact of the Trump administration was talked about. So in the core automotive batteries, I think would be the key business for Panasonic. And EVs globally is slowing down. And U.S. has shown from the Paris Agreement where it is going to. So the investment into the automotive battery, your focus, how do you see the risk in doing so?
Unidentified Company Representative : Well, thank you for your question. Automotive batteries. The growth of the EV is slowing down, but it is growing. So car manufacturers, we try to make our investment based on the agreement with the OEMs. So if the growth is slowing down, we would also slow down our investments. So for our investment policy, of course we will be sharing that with the OEMs or use IRA. So for us, the new or major investments, will be smooth out. Thank you.
Operator: Next, [indiscernible] from Nikkei Asia.
Unidentified Analyst : [indiscernible] from Nikkei Asia. I have a question on IRA. President Trump is reported to have suspended some of the spending related to IRA tax credit. What do you think would be impact of that to you? And should IRA be canceled? You consider this business to be a sustainably profitable business, cash generating business. What do you think is the risk of this IRA change by President Trump?
Yuki Kusumi : Thank you for your question. I think what is being talked about as the suspension of IRA tax credit is with regards to the tax credit given to the consumers. The 45X is for the battery part. This is a tax credit, not a subsidy. So far, there has been no comment regarding the suspension of this. So we expect this to continue, Section 45X. But Trump administration, being Trump administration, things might change. And what the impact is going to be, should that happen, I think I should give the floor to Umeda-san CFO.
Hirokazu Umeda : The IRA aspect, as CEO, Kusumi, said. So far no comment on the Section 45X. And regarding the energy manufacturing facilities in the U.S., employing a large number of people, that has been an important policy within the administration. And so I doubt Section 45X will be revisited given that backdrop. Now should Section 45X be terminated, I don't think it will take the form of retroactively or implementing this going over the past years. I think it is going to be several years before it will take effect. And we are doing business as a larger number of automotive OEMs. And the EV market in North America is expected to gradually grow. And we’re partnering with the strongest player. So we will solidify that. In the meantime, we will be increasing the customer base as well. So even if Section 45X is to be terminated, we believe that we can recover cost since the investments we already have been made.
Unidentified Analyst : I see. So you expect that it will be years before this is to be terminated? So you think that by that time, you will have completed the major investments and therefore, you will not be feeling major impact. Am I correct?
Unidentified Company Representative : Yes. Paying for new payments, and in our case, it is a deductible credit that is being applied on a onetime basis. So if it is going to be excluded, it would only take effect year or two years from now. But I don't think that will be in line with the industrial policy that President Trump is trying to drive. And I'm afraid, should that happen, that will discourage investments into U.S., which would go counter to his stance. So we will continue to pay close attention to how things will develop and we will address it through the capital allocation.
Unidentified Analyst: I see. Thank you.
Operator: We are running out of time for the Q&A for the journalists. So we are taking just one more question from journalists. From Nikkan Kogyo Shimbun, [indiscernible].
Unidentified Analyst : Yes. This is [indiscernible] of Nikkan Kogyo Shimbun. Thank you. One point of clarification and one question. First of all, the operating company, Panasonic Corporation will be dissolved. And that's within March '26. Is that correct?
Unidentified Company Representative : Well, as a legal entity, the Panasonic Corporation no longer functioning, that will be done by the end of fiscal in March 2026. And internally, we will start the virtual operation or virtual management in Q4. This is not the final decision, but that's the kind of target that we have, and we are working towards that.
Unidentified Analyst : I see. Another question that I have. The low profitable businesses, among them, the industrial devices and electromechanical control included, this is within the industry. So industry GenAI capacitors and the others, the demand is growing. So once again, how do you differentiate the businesses? For AI, you will focus more on the AI? So could you elaborate on this?
Unidentified Company Representative : Well, industry as a whole the industry as a company and there are various businesses under this. So processes and materials, there are some strength and some businesses are focused on the assembly. So process and materials, this is really full of know-hows. So this is where we would like to accommodate the needs and demand of the customers. And as long as we do so, we believe that we can generate profit. But as for the assembly, relatively speaking, can be imitated easily. So when the market is big, it could become red ocean. So because of that as an industry or as a policy of the industry, they want -- will focus more on the materials and the processes. And the low profitable businesses, this is more in the assembly side. So this is something that will be reconstruct debt.
Unidentified Analyst: I see. Thank you.
Operator: So this concludes the Q&A portion for news media. We will now take questions from analysts. Once again, we will take questions only on the Japanese line, only in Japanese. [Operator Instructions] From Goldman Sachs, Harada-san, please.
Ryo Harada: Thank you. Harada from Goldman Sachs. Two questions. First, the profit generation resulting from the management reform. On Page 8, you are showing the concept for FY '27-'28. Through the rightsizing, how much improvement are you expecting? If you have a breakdown, could you share that with us? And with regards to the future direction of the businesses with issues, are you expecting the income from sale of these businesses as well? And for solutions area, of course, the sales is the largest, and I think the profit has to be large as well. And only you are talking -- you are not showing 15% or 10% increase that you are showing for other businesses. So could you give us your thinking on this? Thank you.
Hirokazu Umeda : For FY '26, the profit. As we responded in earlier session, we have yet to work out the details. As for expenses that are related to the reform, we have yet to make that calculation. But what's shown on this slide is the reflection of our intent to show you the overall picture. We would like to record the profit for FY '26, as much as possible. And there will be a gain on the sale of business as well. And we believe that some of the expenses could be canceled out through that sale. So we are not expecting expenses to be by far larger, but we don't have any figures that we are prepared to share with you right now. We will share that with you at the right time. And regarding the solutions business, the profits in which you said that is not being mentioned. As Kusumi said earlier, although it is not written here for each business, double-digit profitability is what we’re aiming at. But including the enhancement of the business and this organizational capability, we will have to make investments. And so by FY '29 March, we may not be able to make all the businesses profitable. But as early as possible, we would like to achieve double-digit profit.
Ryo Harada: I see. So for devices in Smart Life, not much investment to achieve the figures that you show here? Whereas for solutions, because there will be investments, you cannot commit to any number. Am I correct?
Unidentified Company Representative: Yes. Investments might affect profit depending on the timing, but these are the investments necessary for future growth. And so for devices in Smart Life, we will be controlling an investment to ensure the profit and the cash flow generated would be invested in the solutions area.
Ryo Harada: I see. My second question about governance that you talked about earlier as well as corporate structure. With Kusumi-san at the top, you’re going to focus on solutions area. For each operating company, there is energy-connect industry. The President of each company, should there be any disagreements with them? How do you plan to take initiative to push through what you're trying to do, Kusumi-san? I know it sounds like the organizational structure has yet to be worked out, but this February, Hitachi has already announced the new leadership. I wonder internally, you have already have the organization established.
Yuki Kusumi : Thank you for your question. I know you’re expecting a lot from us, as I said in my response to the news media. In order to have everyone on board, we made this announcement at this time. And so there are many things that have yet to be decided. In terms of solutions, different companies facing the same customer and not good enough communication, coordination amongst them, resulting in lost opportunities. That's what's happening today. We have already started addressing these issues. And for the solutions, relevant sales organizations, we gather them together to address the situation, but we need to accelerate our efforts. And we have yet to decide on the organization to facilitate this and expedite this. The issues are there because they are not being addressed properly. And for those, we'll just have to have a candid discussion amongst the relevant parties.
Ryo Harada : I see. Thank you. Regarding your organizational change, Kusumi-san and Umeda-san, you have been on the Board of operating companies. But starting April, that is going to change and that has already been committed?
Yuki Kusumi : Yes, governance on the operating companies when Umeda-san or I are on the Board, that may get in the way. And so we are going to address -- we're going to readdress this starting next fiscal year, meaning starting this coming April.
Ryo Harada: I see. Thank you.
Operator: Harada-san. Thank you very much. Next, from JPMorgan Securities, Ayada-san, please.
Junya Ayada : Ayada from JPMorgan. I have two questions. First, once again, JPY 150 billion by fiscal '27, the profit improvement, how to understand that? As you mentioned, in order to realize this, what are your views on costs? One-time structural restructuring costs and other gains, those will be offset, you mentioned. So for example, on Page 8, the integration of the sites. And as a result of this, some products could be outsourced rather than manufactured inside, and that might lead to higher cost. And so the cost increase, is that included or factored into JPY 150 billion? Or is that separate? So could you explain that?
Unidentified Company Representative : Thank you for your question. Yes, as you said, the ones that can be onetime, we would like to do that within FY '26. So we would like to proceed with the reform. But at the same time, the integration of the sites and so forth, you would -- in some time -- in cases, it would be -- it would take some time. So some of them will be incurring in fiscal '27. And as for the integration of the different site specifics, there are some that we are already considering. And specifically, vis-a-vis the JPY 150 billion, what will be the impact, we will need to scrutinize and at the right timing, we would like to explain. So the details as of today, we do not have any particular specifics. So as soon as we are ready, we would like to explain that to you.
Junya Ayada : I see. My second question is about the business performance, a question to Umeda-san. So Q4, your view compared to Q3, Energy and Connect Q-on-Q, lower profit is expected. So can you explain that? The Q3 was too good? Or some worsening expected in Q4, for example, the automotive battery and the consumer? And in connect, it seems that there are some additional explanation that I'd like to have from you.
Hirokazu Umeda : Yes. Thank you for your question. First of all, about Connect. In Q3, yes, it was good. And Avionics, the aircraft manufacturers, the production is not yet increasing. And the services and WiFi related, telecommunication related, they worked well, and there are some increases that we saw. And as for the process automation, in the future, we are not certain. But as of now or recently, for the smartphones, the results were good. So because of these, the Q3 were higher than what we expected. As for Q4, in terms of the seasonality, Connect is a high season. So this forecast is conservative. It's -- we are feeling that the profit is not going to decline. But still, Avionics and the aircraft manufacturers, there are some concerns. So it looks conservative, but this is what we see. As for Energy, last fiscal year, quality-related reserve or provision, there was a major number and there is a reversal from that and that is included. That's the only one. So in that sense, Generative AI has been very strong. So for the full year, we have increased the number. So to some extent, it is conservative. And the foreign exchange, our expectation is JPY 140 to the dollar, and right now, it is JPY 155. So that will be higher than what we assume. So overall, forecast for Q4, is rather conservative. So I hope I'm answering your question.
Junya Ayada: Yes. Thank you for the details.
Operator: Thank you. Next, from SMBC Nikko Securities, Katsura-san.
Ryosuke Katsura : Thank you. Katsura from SMBC Nikko Securities. I have a question for Umeda-san and one for Kusumi-san. Question for Umeda-san, related to the earlier question, I'm looking at Slide 12. The revision that you have made. So excluding automotive, basically upward revision for Energy included in JPY 15 billion is about JPY 6 billion, related to IRA tax credits amount being fixed. So it could be a one-time thing, a special factor that was not included in the past. So on a constant basis to what you were anticipating three months ago, what were better, what were worse? So in this rather difficult environment, I think it is getting stronger and that's why it's getting better. So could you elaborate on the factors involved?
Hirokazu Umeda : Thank you. Right. In actuality, upward revision. If you restate the automotive part, that will be canceled out. Industry and Energy, yes, upward revision. Energy, well, as you have said, about JPY 6 billion related to new IRA tax credits. So in actuality JPY 10 billion or so, is the size of the upward revision. So on a full-year basis for the first time, as mentioned in my presentation, we reached 10 gigawatt hour for the very first time. And in Q4, this is not the production volume, but the sales volume. And therefore, the demand from the customer is very strong. And we are asked to deliver more and we are revamping our facilities, the line, improve the productivity to reach 10 gigawatt hour. Considering that as we move towards Q4, in the first and second quarters as mentioned earlier, because of the factors on the part of the customer, the production facility, the operating rate was low, but we are on a full capacity so 30.2 gigawatt is most likely to be achieved on a full year basis, as we had anticipated. So with this productivity for Energy overall, for in-vehicle battery and Generative AI I think has really become more steady.
Ryosuke Katsura : I see. My second question, I'm looking at Kusumi-san's presentation, Page 8. First, clarification. For FY '25. I know I'm getting into the details, but are you excluding automotive here or is it included, adjusted? So what is the starting point is my question. And the reason why I ask that question is, although you did emphasize for FY '27, JPY 150 billion or more of a profit improvement. For that to happen in 1984, JPY 574 billion was your record profit. So I think you are now talking about the amount that exceeds that record. So it could be a very symbolic target and very aggressive target. Am I looking at this correctly?
Hirokazu Umeda : Sorry for me to be answering, but let me answer that question, not Kusumi-san. For FY '25, this is the latest announced year. In other words, adjusted OP, JPY 450 billion; OP JPY 380 billion. For FY '26, as has been mentioned, the adjusted operating profit with the portfolio management could vary a bit, but for many things. Environment is improving more or less. So adjusted operating profit should increase year-on-year for operating profit, for other loss, income and loss, the structural reform portion. Although they are not specific yet, without any hesitation, we will be implementing the programs. So it looks flat, rather low. But in April of FY '25, in the first quarter, there are projects that were decided last year, projection -- the projector business transfer that was decided last year, about JPY 100 billion, close to JPY 100 billion would be the gain on that sale and JPY 70 billion structural reform expenses this fiscal year. So JPY 170 billion, on a normal basis for other income and loss improvement. And so on top of that, for the structural reform, how much we are going to expect would be the factor that may affect the overall picture. So JPY 150 billion or more, the starting point is, as I mentioned earlier so the total amount that we have in mind is close to what you just mentioned.
Ryosuke Katsura : Very clear, thank you.
Unidentified Company Representative : Katsura-san. You are right. This target is a very ambitious one or you may feel that this is a very ambitious one, but we feel that this is a must. So please watch us.
Operator: Thank you. Next, Okazaki-san from Nomura Securities.
Yu Okazaki : Okazaki speaking. About the business performance, IRA tax credit, the electrode active material, 10% why are you -- is this mentioned now? And what is it? Is this going to continue from now on?
Unidentified Company Representative : Yes. In the previous earnings briefing, we mentioned that final 45X, the law or act was finalized in October. And in fact, this IRA introduction, when it was introduced, the electrode material -- the active material, the production cost, this is the cathode anode. And so the personnel cost and the depreciation, 10% of those are subject to IRA tax credit. So this was kind of vague and it became more clear. So in October '24, these come under the IRA, and this was discussed. And the third-party valuation was given, and this is now under or subject to the tax credit. So fiscal '24 and '25, at one-time this was done. So that is the content of the costs. In Q3, for your reference, 10 gigawatt was reached. Thank you.
Yu Okazaki : Thank you. Second question is about the management reform. So this time in the presentation, you did not mention the cash allocation principle. So depending on the restructuring, I think there are some uncertainties, but the growth investments have already peaked out. So what is your view or the way of thinking about the cash allocation from now on?
Unidentified Company Representative : Yes, about the growth investments, it is not going to be as much as what we have seen. And when we achieve the profitability, as I mentioned although of course, allocate that for the shareholder return. I’d like to think about that positively. I hope that answers your question, Okazaki-san.
Yu Okazaki: Yes. Thank you.
Operator: We're getting close to the end time. So I'm afraid, we will only take questions from two more people, one question each. One first, Ezawa-san from Citigroup Global Markets Japan.
Kota Ezawa: About this management reform. Currently, the Panasonic Group is generating a large profit. And in terms of cash flow, you will be achieving the target you set for the medium term. So you do have profit. You are profitable. I know it depends on who you ask. But regardless, you are embarking on this dramatic management reform, including the portfolio management. I think this is going to be very first for Panasonic over the years. I think reform so far has been more moderate. You’re now talking about including TV business on the list as well. So the significance of embarking on such a dramatic reform, what kind of a sense of crisis, urgency are you seeing, Kusumi-san? Depending on how you see it, maybe it's not as critical as to warrant such a drastic reform. So conceptually, what are you targeting as you implement this reform?
Yuki Kusumi : Well, as I have been telling you, Ezawa-san, since day one, over the last 30 years, we have not been growing on a sustainable manner. We see some spikes. But again, we see a decline. And employees cannot be proud of such a company and the capital market will be critical of us as well and is critical of us. So why is this happening, to 5% profit that Katsura-san was talking about, maybe we have achieved that, but that was the criteria for getting the business. So why is there an issue? Although I didn't talk about that earlier. Now 5% profit, when that is achieved, the SG&A portion goes up. That has been happening. And that is the reason why profitability has not improved on a constant basis and we have been repeating that cycle. From the management point of view and the governance point of view, the head count control is not thorough enough. That is one way to put it. And we tend to rely on increasing the workforce when we wanted to start something new, and that needs to be revisited. In terms of human resources, if you really try hard, maybe a certain task could be done by two people, but we are putting five people to do that. That means we are wasting the human resources, available human resources. So we need to take a closer look at that. And in terms of the structural reform, the employment structural reform, we have only done that when we were in losses. But now employees might be seeking a new pathway, but we have not been able to really support them. We have not really been putting together a system that encourage the people, endorse the people to take up a new challenge. And so as President, even if I were to retire soon, I thought I should really complete this work.
Operator: Thank you very much. So last person with one question. Mizuho Securities, Nakane-san, please.
Yasuo Nakane : Nakane speaking. Thank you very much. Sorry, my voice is kind of not very good. About the management reform, so you must have really thought about this. It's a good impression. Based on that assumption, this is something that you will be discussing from now on. Based on that assumption, the Panasonic Corporation's dissolution, I understand about that. But the holdings, the size and the role how would it change from now? And about the PECs, the procurement, you would look into the procurement area. So what would happen to that? So if you can share with us your thinking or your thoughts on that?
Unidentified Company Representative : Yes. Thank you for your question. First of all, about the holdings and PECs, especially the holdings, this is related to the head count and the budget-size. And right now, the operating companies of the group, based upon their sales, we are collecting the expenses at our headquarters. And we should not increase that percentage because that if we do so, that would damage the operating company. So holdings impacts the size of the budget, first of all. By the portfolio management, we would like to further reduce this. So that's what we have been doing. And as for the functions, so PECs. From the total optimization, there should be some consolidation. There are some common things that should need to be done as a shared services, and we will consolidate that under the strong governance. At the same time, when the holding company started, to have a small head count in the holdings and to show it that the governance function, the part of the governance function of the holding was done by PECs. And by doing so, it goes across the multiple companies. So it has to do with the intercompany or consignment relationship. And that led to some waste. So governance-related function will go back to the holding, so that we can have a total optimization. So that's what we have been thinking. Thank you very much.
Operator: With that, thank you very much for your questions. Our time is up. So with that, I'd like to end the Q3 financial results announcement and also the group management reports explanation. Thank you very much indeed for your participation.